Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gamida Cell’s Conference Call for the First Quarter 2022 Financial Results. My name is Carmen and I will be your Operator for today’s call. Please be advised that this call is being recorded at Gamida Cell’s request. Now, I would like to introduce your host for today’s conference, Heather DiVecchia, Gamida Cell’s Chief of Staff. Please go ahead.
Heather DiVecchia: Thank you, Carmen and good morning, everyone. Welcome to today’s call during which we will provide an update on the Company and review our financial results for the first quarter of 2022. Earlier this morning, we issued a press release summarizing our financial results and progress across the Company, which is available on our website at website at www.gamidacell.com. Please note that unfortunately, our Chief Executive Officer, Julian Adams is unable to join us this morning due to contracting COVID-19. Company operations are unaffected and Julian has advised us that his symptoms are improving, and he expects to recover shortly. With that here with me on our call today are Michele Korfin, our Chief Operating Officer and Chief Commercial Officer; Ronit Simantov, our Chief Medical Officer and Chief Scientific Officer; and Shai Lankry, Chief Financial Officer. During this call, we may make Forward-Looking Statements about our future expectations and plans, including in respect to the timing of initiation and progress of, and data reported from the clinical trials of our product candidates, anticipated regulatory filings, including the submission of the BLA for Omidubicel to the FDA, commercialization planning efforts, the potentially life-saving or curative therapeutic and commercial potential of Gamida Cell’s product candidate, including GDA-201 and Omidubicel, and our expectations regarding our projected cash to be used for operating activities and cash runway. Our actual results may differ materially from what we project today due to a number of important factors, including the impacts of COVID-19 pandemic on our operations, the scope, progress and expansion of our clinical trials and cost impact thereof, clinical, scientific, regulatory and technical developments and those inherent in the process of developing and commercializing product candidates that are safe and effective for use as human therapeutics, and the endeavor of building a business around such product candidates, as well as those considerations described in the Risk Factors section of our most recent annual report on Form 10-K and other filings that we make with the SEC from time-to-time. These forward-looking statements represent our views only as of today, and we caution you that we may not update them in the future, whether as a result of new information, fewer future events or otherwise. Now I would like to turn the call over to Michelle.
Michele Korfin: Thank you, Heather, and thank you to everyone for joining us this morning. Gamida Cell had a productive quarter as we made important progress across all areas of our Company. We continue to build momentum as we head into several inflection points expected this year, most near-term being the full BLA submission for Omidubicel, which we are on track to complete in the second quarter of this year. Additionally, our GDA-201 program advanced marked by the recent clearance by FDA of our IND and removal of the clinical hold for the cryopreserved formulation. We are excited to have reached this milestone and are now moving forward with our plans to initiate a company sponsored Phase I/II study in patients with follicular and diffuse large B-cell lymphomas, which Ronit will provide additional detail on. Beyond GDA-201, which is our lead program in our expanding NAM enabled NK cell pipeline. We are also looking forward to announcing a new product candidate from our genetically engineered NAM enabled NK cell constructs later this year. We recently announced preclinical data at the ISCT conference supporting the development of GDA-301 and GDA-601. It is an exciting time in Gamida Cell’s development and we are focused on advancing our pipeline of potentially curative cell therapies. Our continued commitment is demonstrated by the new and recent data on Omidubicel that we presented this quarter, focused on Omidubicel’s, encouraging clinical data and our health economic efforts, which we will comment on later on in the call. With all we have accomplished only this past quarter, but also in the last few months, we are poised to be a leader in the development of NAM-enabled cell therapies with two promising and important clinical programs and a robust pipeline of genetically modified NK cell product candidates in preclinical development. The progress we achieved this quarter continues to add to the important foundation that we have established. This strong foundation is due to our dedicated employees and their continued focus on patients and our vision of advancing therapies to help to address unmet needs. With this, I will now turn the call over to Ronit.
Ronit Simantov: Thanks, Michelle. And good morning everyone. Thank you for joining us on the call this morning. Let me start with our lead program Omidubicel, which has breakthrough therapy designation as well as orphan drug status and to potential to be the first FDA-approved cell therapy for stem cell transplant. Earlier this year, we were excited to initiate the rolling BLA submission for Omidubicel starting with our non-clinical module, followed by the submission of our clinical module. I’m pleased that we are currently on track to complete the full BLA submission in the second quarter of this year, moving us closer to bringing this important potential therapy to patients. Our BLA for Omidubicel is supported by strong Phase III results, which met all primary and secondary endpoints. This past quarter, we announced the presentation of new data at the Transplantation & Cellular Therapy or TCT meeting. As we have continued to add to the body of evidence demonstrating the potential of Omidubicel to address unmet needs in patients undergoing allogeneic stem cell transplantation. Patients often have serious infections after transplant due to the slow recovery of their immune system, following treatment. In a presentation that received a TCT best abstract award, Dr. Paul Szabolcs presented data from our Phase III randomized trial of Omidubicel, showing rapid recovery of abroad repertoire of immune cells, which was associated with reduced infection rates in Omidubicel treated patients. In another oral presentation at TCT, Dr. [indiscernible] presented the final results of our Phase III study, including patient follow-up of over one year after transplant. The results showed that the early engrossment and lower infection rates previously observed in patients treated with Omidubicel were accompanied by longer-term clinical benefits, including a reduction in transplant related mortality and a trend towards an increase in overall survival, with no increase in relapsed or graft versus host disease, compared to transplantation with standard umbilical cord blood. In addition, among our six posters at TCT, we presented 10-year follow-up data of patients treated in the Omidubicel clinical development program, demonstrating long-term sustainable hematopoiesis and immune confidence, with one case of secondary graft failure and one case of severe chronic GVHD among the 22 patients in the cohort. We also presented an analysis of resource utilization in the Phase III study, demonstrating that faster hematopoietic recovery and lower rates of infections in patients transplant with Omidubicel were associated with significantly shorter length of hospital stay, reduced admissions to intensive care unit settings and lower healthcare resource utilization, compared to control. Another poster outlined a quantitative analysis of well-established measures of patient health related quality of life, in a randomized Phase III study. The analysis demonstrated that Omidubicel was associated with meaningfully greater preservation or improvement of quality of life. Tying together clinical data in the Phase III study to important outcomes from a patient focused perspective. Overall, we have continued to develop a robust set of clinical scientific translational and quality of life data demonstrating the potential clinical benefit of transplantation with Omidubicel. Now turning to our NK pipeline, I will start with an update on GDA-201, we are proceeding with our plans to initiate a study of GDA-201 in patients with non-Hodgkin lymphoma. Although there have been recent advances for patients with lymphoma, we recognize that there is still an unmet need for patients with relapse and refractory disease. Given the responses observed in the investigator led study at the University of Minnesota using the fresh formulation of GDA-201. We have developed the cryopreserved formulation, which allows us to perform a multicenter study. We are very pleased to receive FDA clearance of our IMD for GDA-201, removing the clinical hold and allowing us to move forward with the study. We are proceeding with the operational activities at several sites, and we anticipate conducting formal site initiation visits and opening sites for enrollment this quarter. Turning to our research and development activities, we are continuing to advance the preclinical data for our gene edited NK cell pipeline aimed at hematologic malignancies and solid tumors. We recently presented two posters at the International Society for Cell Gene Therapy or IFCP meeting in San Francisco. One poster presented new preclinical data on GDA-301, our CISH knockout membrane bound IL-15 expressing NK cell. Our poster showed cytotoxicity in potency of GDA-301 in multiple tumor cell line. The second poster detailed preclinical data demonstrating cytotoxicity of GDA-601, our CD-38 knockout anti CD-38 CAR expressing NAM NK cells against multiple myeloma cell lines. We look forward to presenting more data at scientific meetings this year. We plan to continue to conduct preclinical proof of concept studies for these genetically modified NK therapeutic candidates and by the end of 2022, we plan to select a pipeline candidate for IND enabling studies. With that, I will turn the call over to Michele to now talk more about Omidubicel and commercial preparation. Michele.
Michele Korfin: Thank you, Ronit. I will now comment on our advancements with our CMC module and our launch readiness for Omidubicel. Earlier this year, we initiated our rolling BLA submission for Omidubicel, and we are nearing completion of the rolling BLA, which is on track for completion in the second quarter of this year. In the first quarter of this year, we reached an important milestone with the FDA’s acknowledgement of the analytical comparability from our planned Gamida Cell owned commercial facility in Israel, as compared to the manufacturing facility used for the Phase III study. This allowed us to move forward with completion of the remaining production modules in our facility in Israel to support the BLA. Our cross functional team in Israel, including operations quality R&D and regulatory are progressing well on the CMC module in preparation for completing that module and the BLA submission in the second quarter. We are not only preparing for the BLA submission from an operations perspective, but also preparing for launch readiness. Our facility in Israel is modular and upon FDA approval of Omidubicel, we will have the ability to add additional cores as demand grows from Omidubicel. We are confident we could support the launch demand requirements from our facility, not only from a production, but also a supply chain standpoint. The team is diligently working to ensure our manufacturing reliability, chain of identity and chain of custody for our commercial process to ensure a positive transplant center and positive patient experience. Transitioning to launch readiness, the Gamida team recognizes the unmet need that Omidubicel may address for patients upon FDA approval. We are focused on our launch readiness to ensure upon FDA approval that patients could have access to Omidubicel. For patients with hematologic malignancies that are deemed eligible for an allergenic stem cell transplant, the procedure may be their best chance for a potential cure. There are two key opportunities that Omidubicel may address for patients upon FDA approval. The first being potentially improving outcomes as compared to other donor sources based on transplant or feedback and the second potentially increasing access In the United States are approximately 8,000 patients above the age of 12 with hematologic malignancies who undergo an allogeneic stem cell transplant each year. For potentially improving outcomes, we have conducted extensive market research over the last two years, and the insights are consistent and clear. Transplanters see important opportunities for Omidubicel to potentially improve outcomes based on their experience with other donor sources. This is due to the strength of our clinical data, the ability to provide patients with pre-defined number of cells and the ability to provide Omidubicel within approximately one month of patient identification. The majority of the patients in the United States are still receiving their graft from an unrelated donor and that could take on average, at least two to three months to align the patient and the donor. This timing for unrelated donors unfortunately puts the patient at risk for relapse. Unfortunately, there are approximately 1,200 patients each year who are ages 12 and up with hematologic malignancies, who are deemed eligible for allogeneic stem cell transplant but cannot find an appropriate donor. In terms of potentially increasing access for patients, unfortunately, there is racial disparity in the U.S. in regards to access to allogeneic stem cell transplants. If you are non-Caucasian and do not have access to a family member donor, you have a very low likelihood of finding a match in the public database. For example, patients who are African American may have less than a 20% chance of finding a match. Omidubicel has a less stringent matching criteria, and we demonstrated our ability to match racially and ethnically diverse patients in our Phase III study, approximately 40% of the patients in our study were non-Caucasian. And a study recently highlighted in a Poster Presentation at TCT, we leveraged available registry data and population modeling to project the potential impact of Omidubicel on racial and ethnic disparities. In the model population increases in Omidubicel use in eligible patients were associated with potentially higher proportions of patients undergoing transplant and overall potentially improved outcomes with improvements being greater among racial minorities. Taken together we anticipate that these two opportunities combined pending FDA approval, both improving outcomes based on transplant or feedback and increasing access may result in Omidubicel capturing approximately 20% to 25% of the addressable market once we reach peak market share. So upon FDA approval, this would equate to approximately 2,000 to 2,500 patients treated each year in the U.S. alone with Omidubicel. In regards to reaching transplant centers in the U.S., the transplant centers that perform allogeneic stem cell transplants are extremely concentrated. For reference in the U.S., there are approximately 200 transplant centers that perform allogeneic stem cell transplants, 70 of those centers conduct approximately 80% of the transplants, allowing for an optimized approach to commercialization by initially targeting those centers. Another important aspect of our launch is engaging with payers to ensure that they understand the potential value of Omidubicel upon FDA approval. Payer conversations are underway with national and key regional payers and we continue to hear consistent encouraging feedback on the overall value proposition of Omidubicel, including the strength of the clinical data and the health economic data we have published to-date. We are also encouraged by their feedback on both the coverage and reimbursement approach they anticipate taking with Omidubicel upon FDA approval. We are excited to continue to hear positive feedback across all stakeholders and are extremely encouraged and driven by the potential of Omidubicel. We look forward to continuing to provide updates on our commercial preparations. I will now turn the call over to Shai to review our financial results. Shai.
Shai Lankry: Thank you, Michele. And good morning, everyone. Today, I will summarize our financial results for the first quarter of 2022. As of March 31, 2022, our total cash position was approximately $70 million compared to $96 million as of December 31, 2021. Research and development expenses for the quarter were $11.3 million, compared to $11.4 million in the first quarter of last year. The decrease was primarily due to a $1.1 million decrease in Omidubicel cell and GDA-201 clinical studies activities, offset by an increase of $1 million in boarding our scientific capabilities in talent. Commercial expenses for the quarter were $3.9 million, compared to $4.2 million in the first quarter of 2021. The decrease was mainly due to reducing our near-term commercial readiness expenses, as we are assessing alternatives for the commercialization of Omidubicel, including potential U.S. or global partnership. General and administrative expenses were $4.1 million in the first quarter of 2022, compared to $3.5 million for the same period in 2021. The increase was mainly due to a $0.5 million increase in headcount and related expenses. Finance expenses net were $0.9 million for the first quarter of 2022, compared to $0.1 million for the same period last year. The increase was primarily due to a $0.6 million increase in interest expenses from our convertible node. Net loss for the first quarter of 2022 was $20.2 million, compared to a net loss of $19.2 million in the first quarter of 2021. We expect cash used for ongoing operating activities for the entirety of this year to range from $65 million to $70 million. We anticipate our current total cash position will support our ongoing operating activities into mid 2023. This cash run way guidance is based on our current operational plans and exclude any additional funding that may be received or business development activities that may be undertaken. With that, I will turn the call back over to Michele.
Michele Korfin: Thank you, Shai. As we look ahead to the rest of the year, we are uniquely poised to deliver on our mission of developing potentially curative cell therapies for patients with blood cancers and other serious diseases. We look forward to our full BLA submission for Omidubicel expected in the second quarter of this year and the initiation of our Phase I/II multicenter Gamida Cell sponsored study for the cryopreserve formulation of GDA-201 in patients with follicular and diffuse large B cell lymphomas this year. We are excited for the opportunity to continue to leverage our unique NAM-enabled platform across a broad range of cell therapy candidates, and we look forward to providing updates throughout the year. Now we will open the call for questions, Carmen.
Operator: Thank you. [Operator Instructions] Your first question comes from John Miller with Evercore. Please go ahead.
Eric Musonza: Hi, this is Eric Musonza calling in for Jonathan Miller. Just had two quick questions on GDA-20,1 with trial sites opening in second quarter, when can we expect the first patient in and what sort of dynamics do you see around enrollment like do you expect COVID or summer travel to impact that? And then I have one follow-up.
Heather DiVecchia: Excellent. Thank you, Eric. Thanks for joining the call. I will turn to Ronit to address both of those. Thank you.
Ronit Simantov: Thanks Eric. So, in terms of opening sites, so sites will open this quarter and patients will need to be recruited and screened appropriately before the first patient is treated. So it usually takes several weeks for that to happen until a patient is actually treated with GDA-201. But you know there is a lot of interest among the investigators for this study. There is an unmet need. These are patients who are relapsed or refractory, and clearly need additional therapies and are engaged in enrolling in a clinical trial. And so with the high need for these patients and the fact that they are ill with very serious cancer. We believe that enrollment will be robust for these patients. I will make one more point about this portion of the study. It is a Phase I portion of the study. And so as this is a Phase I where toxicities are being evaluated patient-by-patient, we will be evaluating toxicity in each patient before proceeding with enrollment to the next patient. So we can carefully gauge patient enrollment as we move forward in the next few months and evaluate dose limiting toxicities. Once we evaluate that, then we can enroll patients more concurrently.
Eric Musonza: Got it. Very helpful. And just one more question. Do you expect any differences in enrollment timeline between follicular and the DLBCL cohorts?
Ronit Simantov: At this point, we don’t anticipate a difference between those two cohorts, but that is something that we can gauge as we move along. We certainly have the ability to analyze them separately, if need be, if there is a discrepancy we can manage that within the confines of the clinical trial design. But at this point, we don’t anticipate that there will be a difference because our investigators have expressed that patients with both histologies are in need of new therapies.
Eric Musonza: Great. Thank you.
Heather DiVecchia: Thank you Eric.
Operator: Your next question comes from Ted Tenthoff with Piper Sandler. Please go ahead.
Edward Tenthoff: Great, thank you and good morning everyone. I’m curious, what is sort of going on or what the latest is with respect to commercial prep for Omidubicel. I know, you are considering potential strategic alternatives, but also really just trying to get a sense for as you are finishing up the BLA, what might be the most likely scenario for marketing.
Michele Korfin: Excellent. Good, good morning, Ted. And thank you for joining us. I will go ahead and, and take that question. So in regards to commercial preparation, we have accomplished some critical milestones to-date. So first off was really honing the commercial insights to understand first off the overall opportunity, but second of all, what could Omidubicel potential be for that opportunity. So, we have over the last couple of years, and most recently we have reiterated or relooked at some of these market insights. We recognize the two key opportunities from Omidubicel. One is the ability to improve outcomes as compared to other donor sources, and this is based on transplant or feedback. And then the second is increasing access. In terms of improving outcomes, some of the key insights that transplantor share with us is that the strength of the clinical data from our Phase III study, both the efficacy and the safety that Ronit has presented also the ability of having pre-defined number of cells. And then finally the turnaround time in the United States, the majority of patients currently are still getting their donor source from an unrelated donor. And on average, we are hearing that takes at least two to three months to align the donor in the patient. And as you know, with acute leukemia as an aggressive lymphomas that puts the patient at risk for relapse. So with Omidubicel being approximately one month from time of patient identification in the Phase III study to return of Omidubicel that is a positive feature. And then switching to the increasing access or improving access, unfortunately in the United States, we do see many patients who are deemed eligible for transplant that cannot find the donor. The latest data that we have assessed is approximately 1,200 patients each year and that may end up growing. And unfortunately, it is also a 1situation of racial disparity. If you are non-Caucasian in the U.S. and don’t have access to a family member, it is incredibly difficult to find a match. So to summarize, based on the encouragement of those market insights, in regards to the opportunity for Omidubicel, we have hired our commercial leadership team and we also have the operations and supply chain leadership team in place. So this way that that core group of leaders could continue to assess not only the opportunity, but most importantly the launch readiness. And that is moving in parallel to our assessment of potential strategic alternatives. We feel very, very strongly that upon FDA approval, we do need to make sure patients have access to Omidubicel so we have got our leadership team in place as we are also in parallel looking at potential strategic alternatives.
Edward Tenthoff: Okay and would those alternatives include both the United States and overseas because this feels to me like a market that is appropriately sized for a biotech company to launch, especially since you guys have so much familiarity with the product, with the treatment group. So I just want to get a little more color on that. Thanks.
Michele Korfin: Yes. Thank you Ted. So we are assessing strategic opportunities globally, so including the U.S., but also ex-U.S., we have conducted initial commercial assessments in Europe and in Asia specifically in Japan and are very encouraged by the commercial opportunity from a Omidubicel in those areas. So, we are, as we discuss strategic alternatives for potential launch of Omidubicel looking globally.
Edward Tenthoff: Great. Thank you very much.
Heather DiVecchia: Thank you Ted.
Operator: Your next question comes from Gil Blum with Needham and Company. Please go ahead.
Gilbert Blum: Good morning everyone and thanks for taking my question. Maybe a broader one, considering recent the result in donated NK cells in the space, I’m just curious how encouraged you are seeing that a company sponsored study could lead to some very interesting early results and how do you think that translates for GDA-201? Thank you.
Heather DiVecchia: Excellent. good morning Gil and thank you for joining us and for the question. Let me turn to Ronit to address Gil’s question.
Ronit Simantov: Sure. Thanks Gil. So, there have been some encouraging results that we have seen from other product, NK cells type product recently and overall, those are actually really encouraging because it sets the stage for NK cells. And in particular, some of the results we have seen are related to high doses delivered of NK cells with results seen with greater response seen at the higher doses. And that actually sets us up quite well because we are able to deliver with GDA-201 high doses of NK cells, high numbers of NK cells that are extremely functional and retain their killing capacity, because the NAM technology that we have used to expand and maintain the stemness of stem cells actually expand and maintains the NK-ness or the queuing potential of NK cells. So, we actually think it sets us up quite nicely for our Phase I/II study. Our study is designed to evaluate the safety of the cryopreserved formulation at first and then move right into a formal efficacy evaluation. The entire study is un-blinded - open label study, and we will be able to see as we go what the potential for activity is with this formulation. So, we are excited to start enrolling patients and seeing results.
Gilbert Blum: Thank you. Thank you Ronit that was very helpful. Maybe also on a quick financial question. So, on the SG&A spend, there was a line that mentioned that, there are some cost savings due to consideration of strategic options for commercialization. Just help me to understand, does that mean that the company is cutting back on commercial preparedness launch, or just help me to understand that? Thank you.
Michele Korfin: Thank you, Gill. So, I will start with sort of the strategic aspect and I will turn to Shai for any additions on the financial side. So, we were fortunate last year to hire some incredibly strong commercial leaders. Linda Stamler to lead marketing and account management, [indiscernible] to lead market access. Those two individuals and their teams were able to conduct a lot of the critical market insights and beginning of launch preparation last year. So then that allowed us to use this past quarter more to evaluate the insights and less OpEx associated with having to gather additional insights and also less hiring. We were able to hire our core group of commercial and operation leaders last year. So, that is sort of the high-level strategic aspects of it. And let me turn to Shai, if there is anything to add from the financial side.
Shai Lankry: Hi Gil, good morning. Thank you for the question. The way we see it, Gamida Cell as a company, continue to diligently manage our cash position. And as such, we announced back in January, this year, that we are assessing some strategic alternative for launching Omidubicel as our vision is to bring Omidubicel to patient. Yes, we did prioritized, the key activities on not only on the commercial side, but across all the business to make sure, we are not jeopardizing our launch activities. And as I mentioned, and Michele mentioned before making sure each patient will have access to Omidubicel upon the approval.
Gilbert Blum: Alright. Thank you both for taking our questions this morning. A - Heather DiVecchia Thank you Gil.
Operator: Your next question comes from Jason Butler with JMP Securities. Please go ahead.
Unidentified Analyst: Hi. So its [Ronan] (Ph) for Jason. Thanks for taking our questions. I want to follow-up on the partnering questions. I guess, can you give a little more detail maybe on the level of interest that you are seeing. Do you think you can have a partnership in pot in place before, a potential approval maybe around year end? And can you remind us what structure you prefer for the U.S. Maybe a co-promote? Thanks.
Michele Korfin: Thank you. Good morning. And thank you for joining us. I will go ahead and take both of the questions. So we won’t comment on specifics in regards to our assessment at this point in time. But I do want to reiterate something very important that that Shai had said earlier. And that is the fact that although we are assessing strategic alternatives for launch, we also do have the leadership team in place on both the commercial, the medical affairs, the quality and the operations side to assure that patients have access to Omidubicel upon FDA approval. So when you asked about sort of the latter part of the question in terms of timing, we do have the strategy in place, the plans in place to assure access to patients for Omidubicel upon FDA approval. At this point in time, as we indicated earlier this year, we are assessing strategic alternatives, but also continuing to do our work internally around assessing the opportunity and assessing what would be needed for launch planning.
Unidentified Analyst: Okay, great. That is helpful. Thank you. Then for the four NK candidates beyond GDA-201, are you going to take only one into the IND enabling studies or potentially multiple candidates, and then what happens to the other candidates if you know that don’t go into IND enabling studies this year, do they go on hold? Are you going to continue to refine them pre clinically? Thanks.
Heather DiVecchia: Excellent. Thank you very much. I will turn to Ronit for to address that question.
Ronit Simantov: Thanks Jason. One at a time. So we will take the lead candidate by the end of this year and, do the appropriate IND enabling studies and continue to develop, based on data of course, the additional candidates and as move those forward as we are able.
Unidentified Analyst: Great. Thank you very much.
Heather DiVecchia: Thank you.
Operator: Your next question comes from Mark Breidenbach with Oppenheimer. Please go ahead.
Unidentified Analyst: Hi, this is [Jacqueline] (Ph) for Mark, and thanks for taking our questions. So can you please remind us what dose levels will be tested in the dose escalation from the GDA-201. And if there are any differences in lympho depletion conditions to cytokine support or rituximab dosing?
Heather DiVecchia: Thank you for joining us Jacqueline. I will turn to Ronit to address both the dosing question and the question around the lympho depletion and rituximab in the protocol.
Ronit Simantov: Absolutely. So the design of the study, the design of the administration or the treatment design is based on the Minnesota study using the fresh formulation. And so we will be testing doses that are similar to the ones used in the Minnesota study and the administration of lympho depleting chemotherapy, rituximab, and IL2 are also very similar if not identical to what was done in the Minnesota study. So I don’t think we have come out yet with the exact dose levels. But they are guided completely by the previous data in Minnesota.
Unidentified Analyst: And when do you expect to commence manufacturing runs for GDA-201 for the Phase I trial?
Heather DiVecchia: Yes, actually a last one Ronit, if you could also take that please.
Ronit Simantov: Of course, I’m happy to take that. So, manufacturing we are building - because, in the Phase I trial, the GDA-201 is produced ahead of time and not matched for patients, but basically readily available. We are building our inventory already and expect to have the product available for patients as soon as the first dosing is required.
Unidentified Analyst: Great. thanks for detailed questions.
Ronit Simantov: Thank you Jacqueline.
Heather DiVecchia: Thank you.
Operator: Your last question comes from Matthew Cross with Alliance Global Partners. Please go ahead.
Matthew Cross: Hi all good morning. Best wishes to Julian for a speedy recovery. I had two quick questions related to the Phase I/II for GDA-201, and kind of following up on your comments that are neat about the scheduling for lymphodepleting chemotherapy and antibody use. I guess considering this internal study will be using the cryopreserve formulation, not the fresh, just wanted to understand any the kind of special considerations here. I guess for the study compared to the prior one, it sounded like the schedule will be more or less the same or based off of the prior study. But given that you are not baking in time for name expansion with the cryopreserved, just wanted to understand whether that scheduling would still look similar and maybe to kind of recap any modifications that would have to be made to this study that were needed to remedy the FDA’s concerns around donor eligibility requirements. And anything that may play into which sites are able to participate in this study, given the combination of those donor eligibility requirement changes and the cryopreservation use here versus what was done previously? Thanks.
Heather DiVecchia: Excellent. Thank you Matt, thank you for joining us and thank you for the well wishes, we will pass them along, thank you. And I will turn to Ronit to answer Matt’s questions in regards to the Phase I/II.
Ronit Simantov: Sure. I’m happy to answer that, and I will take the donor eligibility piece first. So, the donor eligibility procedures and the assay qualifications, we needed to make sure that those are compliance with FDA requirements. And so we replaced our donor testing laboratory with a Cleo certified lab in the U.S. and we have now made sure that all appropriate tests are licensed and cleared and that eligibility requirement has been met. So there has been no change in the design of the study based on the quote - the hold itself was not require any changes in the design of the study, the protocol, the sites, or anything that had to do with the clinical trial itself. It really was confined to the eligibility of the product. So that was that piece. Now in terms of cryopreserve formulation, so that it is great that you that you picked up on that. So in the fresh formulation study, patients had to have a donor available that donor had to be recruited and if reasons had to be done and then the product had to be produced over time. So because we have a readily available product, now it will be at the site when the patient is enrolled and so that may save some time in terms of getting the patients up and treated because they will have product there, they don’t have to wait for the donor to get already get the donation and do all that. And then procedurally, there will be a following process, the product will be there, it will be frozen, and it will be thought at the bedside to provide the patient with the product when they need it.
Matthew Cross: Perfect. Okay super helpful. And I just had one quick follow-up, which was around the sizing. It looked like per what you have drawn up on clinicaltrials.gov that there is kind of a target enrollment of about a hundred patients. So I guess I know you are not commenting at this point on the actual dose levels that, that you may step through, but just wanted to confirm whether that total sizing was based around kind of an expectation internally around the number of Phase I cohorts that you may look at, if it will be ultimately still driven by, the standard kind of safety evaluations as you step through doses, or maybe just kind of an expectation for the Phase II population for that portion of the study. Just wanted to get a little bit of an understanding around the assumptions for that sizing. Thanks.
Ronit Simantov: Yes. Absolutely. So, that number, which is put in clinicaltrials.gov and which is incorporated into the protocol itself incorporates, there is some flexibility there because you don’t know for sure how many patients you are going to end up enrolling in Phase I. It is a standard 3x3 design where, if there is a dose limiting toxicity observed in the dose level numbers are expanded to include more patients. And so this is the maximum size based on the possible expansion of cohorts in the Phase I portion. And then it also includes the Phase II portion where we are going to be evaluating separately, the patients with lymphoma, from the patients with the aggressive lymphomas and each of those sort of Phase II portions has its own, steps and analysis surrounding it. But they are relatively small cohorts to allow us to evaluate rather quickly efficacy results and then make decisions based on those early efficacy results that we see.
Matthew Cross: Understood. Okay. Thanks again for the clarity. I appreciate it.
Heather DiVecchia: Thank you Matt.
Ronit Simantov: Thanks so much Matthew.
Operator: Thank you. And this concludes our Q&A session. I will turn the call back to Michele Korfin for her final remarks.
Michele Korfin: Thank you, Carmen. Thank you very much for joining us for the call today. And we look forward to keeping you all updated on our future milestones. Have a nice day. Thank you, Carmen. That will conclude our call.
Operator: Thank you, ladies and gentlemen for participating. And you may now disconnect.